Operator: Good day, ladies and gentlemen, and welcome to the Q4 2013 Weyco Group Earnings Conference Call. My name is Dilu, and I will be your operator today. At this time, all participants will be in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, ladies and gentlemen, this call is being recorded for replay purposes only. I would now like to turn the call over to Mr. John Wittkowske, Chief Financial Officer. Please proceed sir.
John Wittkowske - Chief Financial Officer: Thank you. Good morning, everyone. Welcome to our 2013 annual conference call today. With me are Tom Florsheim Jr., our Chairman and CEO and John Florsheim, our President and COO. Before I begin, I’d like to read a brief disclaimer. During the course of this call, we may make projections or other forward-looking statements regarding our current expectations concerning future events and the future financial performance of the company. We wish to caution you that such statements are just predictions and that actual event or results may differ materially. We refer you to Weyco Group’s most recent Form 10-K, as filed with the Securities and Exchange Commission. The 10-K identifies important factors and risks that could cause the company’s actual results to differ materially from our projections. Additionally, some comparisons may refer to non-GAAP measures. Our SEC filings may contain additional information about these non-GAAP measures and why we use them. Net sales for the fourth quarter of 2013 were $78.5 million, compared with 2012 net sales of $78.4 million. Operating earnings for the quarter were $10.8 million compared to $12.5 million in 2012. Net earnings attributable to Weyco Group were $6.8 million compared to $7.7 million last year. Diluted earnings per share were $0.62 per share for the fourth quarter of 2013 versus $0.71 per share in 2012. Earnings in the fourth quarter of 2012 included $1.8 million or $1.1 million after-tax, the equivalent of $0.11 per diluted share of income that resulted from a reduction in the estimated liability for future payments relating to the BOGS acquisition. Without this prior year adjustment, earnings from operations and net earnings would have been up 2% and 4% respectively for the quarter. In the wholesale segment, net sales were $58.2 million in 2013 compared to $56.6 million. Wholesale gross earnings as a percent of net sales were 36.2% in the fourth quarter of 2013 compared to 36.1% in 2012. Selling and administrative expenses for the wholesale segment were $13.3 million in the fourth quarter, compared to $11.3 million in 2012. As a percent of net sales, selling and administrative expenses were 23% in the fourth quarter of 2013 versus 21%. Excluding the $1.8 million prior year adjustment related to the BOGS acquisition, fourth quarter 2012 selling and administrative expenses would have been 24% of net sales or flat. Operating earnings for the wholesale segment were $7.8 million in the fourth quarter of 2013 compared to $9.1 million in 2012. Without the prior year adjustment related to the BOGS acquisition, earnings from operations for the wholesale segment would have been up 7% for the year primarily due to the increase in sales. Net sales of our North American retail segment, which include both our retail stores and U.S. internet sales, were $6.9 million in the fourth quarter compared to $7.6 million in 2012. Same-store sales were up 5%. There were six fewer retail stores at the end of the fourth quarter of 2013 than they were at the same time last year. Retail operating earnings increased by approximately $173,000, mainly due to the benefit of closing underperforming stores and improved same store performance. Our other operations, which include the wholesale and retail businesses of Florsheim Australia and Florsheim Europe, had net sales of $13.5 million in the fourth quarter versus $14.1 million in 2012. The majority of other net sales were generated by Florsheim Australia. Florsheim Australia’s net sales were down $790,000, or 6% for the quarter. However, in local currency, Florsheim Australia’s net sales were up 5%, driven by a 15% increase in its retail businesses, but that was mitigated by a 12% decrease in its wholesale businesses. The decrease in U.S. dollars was caused by 12% depreciation of the Australian dollar relative to the U.S. dollar during 2013. Collectively, the operating earnings of Florsheim Australia and Florsheim Europe were $1.6 million in the fourth quarter of 2013 compared with $2.1 million in the same period last year. The decrease was primarily due to a $600,000 decline in the operating earnings of Florsheim Australia’s wholesale business which resulted from lower wholesale sales and gross margins. For the year, overall net sales for $300.3 million, up 2% compared with $293.5 million in 2012. Earnings from operations were $27.8 million compared to $29.8 million in 2012. Net earnings attributable to the Weyco Group were $17.6 million in 2013, compared with $19 million in 2012. Diluted earnings per share were $1.62 per share versus $1.73 per share in the prior year. Earnings for 2012 included $3.5 million or $2.1 million after tax, the equivalent of $0.19 per diluted share of income that resulted from reductions in the estimated future liability related to the BOGS acquisition. Without these prior year adjustments, earnings from operations and net earnings would have been up 6% and 5%, respectively. In the wholesale segment, net sales for $225.7 million compared with $217 million in 2012. Wholesale gross earnings as a percent of net sales were 32.6% in 2013 compared to 32.2% in 2012. Selling and administrative expenses for the wholesale segment were $52.8 million in 2013, compared to $48.1 million in 2012. As a percent of net sales selling and administrative expenses were 24% and 22% in 2013 and 2012 respectively. Excluding the $3.5 million prior year adjustment 2012 selling and administrative expenses would have been 24% of net sales. Operating earnings for the wholesale segment were $20.7 million in 2013 compared to $22.2 million in 2012. Without the prior year adjustment related to the BOGS acquisition earnings from operations for the wholesale segment would have been up 11% for the quarter primarily due to the increase in sales and gross margins. In our retail segment, net sales were $23.3 million for the year, down 4% from $24.3 million, same store sales were up 7%. The retail division’s operating earnings increased to $3 million in 2013, up from $1.7 million in 2012. This increase was mainly due to the benefit of closing underperforming stores and earnings increases at both our retail stores and our internet business. Our other businesses had net sales of $51.4 million in 2013, compared with $51.2 million in 2012. Florsheim Europe’s wholesale business was up, but was offset by lower net sales at Florsheim Australia. Florsheim Australia’s net sales were down $730,000, or 2% for the year. In local currency, Florsheim Australia’s net sales were up 6% for the year driven by 16% increase in its retail businesses, but were offset by 9% decrease in its wholesale business. Wholesale shipments were down due to a soft – due to soft sales with the few key retailers in Australia as well as the challenging economic conditions and a weakening local currency in South Africa. Earnings from operations from our other businesses were approximately $4 million in 2013 compared with $5.9 million in 2012. This decrease was primarily due to a $2 million decline in the operating earnings of Florsheim Australia’s wholesale businesses, which resulted from lower wholesale sales as well as increased infrastructure costs to accommodate the BOGS expansion in Australia. At December 31, 2013 our cash and marketable securities totaled $46 million and we have $12 million outstanding under our revolving line of credit. We generated $29.8 million of cash from operations, received proceeds of $14 million from maturities of our marketable securities and collected $3.9 million from stock option exercises. We spent $4.6 million on purchases of our company stock. We paid $33 million on our line of credit and paid dividends of $4.1 million. In addition, we purchased a 50% interest in our Canadian distribution center for $3.2 million and had $2.7 million of other capital expenditures. We expect capital expenditures to be approximately $2 million to $3 million in 2014. On February 24, 2014, the company’s Board of Directors declared a quarterly cash dividend of $0.18 per share, to all shareholders of record on March 17, 2014 payable on March 31, 2014. I would now like to turn the call over to Tom Florsheim Jr., our Chairman and CEO.
Tom Florsheim Jr. - Chairman and Chief Executive Officer: Thanks, John and good morning. Given the general soft retail environment for the holiday season, we feel positive about the overall performance of our brands. In the fourth quarter, our North American wholesale business was up 3%, which was in line with our 4% increased for the full year in 2013. Our BOGS division had the company’s largest gain for the quarter with the 22% increase in sales driven primarily by the harsh winter weather across significant parts of the U.S. and Canada. For the year of BOGS sales were up 9%. We are encouraged by the sell-throughs at retail as well as to our e-commerce side. Based on the last two mild winters, we went into the season with a conservative inventory position as did many of our accounts. As a result we did not realize the full upside based on the weather related demand. However, we believe that the low level of inventory in the market combined with the strong BOGS performance bodes well for the fall 2014 selling season. Brands Bons remains committed to diversifying the brand by introducing categories that are less weather dependent. For the fall 2014 we are expanding our Kids collection to include a range of casuals that will allows BOGS to move beyond purely outdoor usage occasions. In our women’s collections we are introducing additional non-insulated fashion styles constructed with waterproof leather. BOGS brands for fall includes more lifestyle product including waterproof leather casuals and hikers. While we are excited about capitalizing on the strength of the brands of all the business we were also mindful that the design of the new products must connect to the unique character and heritage of BOGS. In terms of our Nunn Bush business, the quarter was down 2%. However, we had a very strong year with an 8% gain in net sales. In 2013, Nunn Bush had a number of significant new product launches primarily to the expansion of its dynamic comfort concept and the introduction of Nunn Bush light weight footwear. The new Nunn Bush product has been well received at the retailer and a consumer level, which resulted in a sales lift in the back half of the year. The brand’s core ATC and Comfort Gel product also continued to experience good at retail sales. We are pleased that Nunn Bush was able to increase its sales in an environment that has been challenging for mid-tier brands. Florsheim sales were down 2% for the quarter and increased 4% for the year. Florsheim’s annual growth was driven in part by the success of the brand’s entire into the kids category. Florsheim kids shoes tapped into avoid for branded (indiscernible) footwear in the boys market. We believe that we can steadily grow this business and the boys product will help to extend the brand to young families. The Florsheim division also continued to expand it’s assortment in casual and contemporary dress categories. From a retail perspective, we have had good success with our updated product mix and believe there is more growth ahead for the brand. Stacy Adams sales were down 2% for the quarter in the year. The decline in Stacy Adams sales can be attributed primarily to a decrease in sales to the off price trade channel as the brand it reduction in close out inventory. Sales of Stacy Adams product at the consumer level are strong especially in the modern dress shoe segment. We continue to build upon our success in this category and are also focused on expanding our collection of modern casual footwear to diversify the brands assortment at retail. In our North American retail segment, we are now operating a relatively small base of 17 stores in the U.S. market. Our emphasis is on improving profitability by closing unprofitable stores in the secondary markets, while investing in flagship stores in U.S. cities that serve more international markets, such as New York and Miami. We are very focused on both the branding and e-commerce aspects of our website, which has been an important source of growth. We are also selectively investing that our retail presence overseas primarily in Australia where we are slated to open additional stores in Melbourne and Perth in 2014. Florsheim experienced strong same store growth in both Australia and Hong Kong which includes Macau, with increases of 7% and 22% respectively this past year. Florsheim Australia’s wholesale business experienced a decline in revenue this past quarter and for the year at both the Asian and Australian markets. Australia’s wholesale business is challenged by its concentration of business with two large accounts. However, we believe that as Australian economy improves so will the business with these key retailers. In China, we are still in the early stages of our joint venture with Pitanco that serves Mainland China. We are excited about the opportunities that this new venture presents. That concludes our formal remarks. We appreciate your interest in Weyco Group. And I would now like to open the call up to see if there are some questions.
Operator: Thank you. (Operator Instructions) Thank you. And our first question comes from the line of Rebecca Simmons of DRZ Inc. Please go ahead.
Rebecca Simmons - DRZ Inc.: Good morning. Thanks for taking my questions.
John Wittkowske: Hi, Rebecca.
Rebecca Simmons - DRZ Inc.: I want to know if you could give us an update on your quarter-to-date trends and what you are seeing so far?
John Wittkowske: Our quarter-to-date trends first quarter?
Rebecca Simmons - DRZ Inc.: Yes.
John Wittkowske: I mean in general I think the year is down it has gotten off to from a retail perspective a bit of a tough start. I mean a lot of it is weather related. We just came back from that the main industry trade show last week. And January was tough for most retailers and I don’t think February was much better. We are not seeing that necessarily in our business, I mean our shipments are – we are seeing a lot of cancellations or anything of that nature. I see the general mood at retail right now is challenging.
Rebecca Simmons - DRZ Inc.: Can you – are you getting any feedback from your customers?
John Wittkowske: In terms – I mean mid as far us our product goes or as far as the general market, I mean the general market I think it is tough out there. And some of that can be attributed to weather probably not all of it. As far as our product I mean like things are pretty steady we have less of a seasonal component and where we do have a seasonal component for instance in BOGS that market has been very strong and has continued into the first quarter. So we are enthused about that. In the general market, it has been less so. In spring selling obviously it has gotten off to a slow start just based on the fact that president stays typically where everybody kicks off their spring selling and weather certainly is not cooperative across the country, in most parts of the country.
Tom Florsheim Jr.: Rebecca, this is Tom. Typically we don’t comment on backlog, but one thing I will mention is we are out right now so on a fall of course and fall ‘14. And one of the things that’s really exciting to us is that due to the performance of BOGS this past fall and as John just mentioned it’s continued in the spring our BOGS orders are way up as we are – we are still in the early part of the fall selling season, but the backlog is up not only on the core product, which we been out we are selling last – since we acquired the brand a few years ago, but we are starting the new product that I talked about in my part of the call we are introducing waterproof leather product that is not as dependent on having a really harsh winter. And so we feel really good about what’s happening from the standpoint of fall ‘14 selling at BOGS, so early to say about the other brands.
Rebecca Simmons - DRZ Inc.: Do you have any new products that you are launching over the next year or so that you are seeing good response from or that you are excited about just maybe outside of BOGS in your other core brands?
Tom Florsheim Jr.: We are introducing actually Nunn Bush kids for fall ‘14 and that’s new for us and we have gotten a really nice response to it. One of the things that really did for us is introduced us to the kids market. We didn’t want to get into kids business with Stacy Adams, but when we realized sort of got us thinking about strategically how do we want to approach the kids market and then when we acquired BOGS, a big part of the BOGS business is kids. And so we feel like we are moving down that learning curve. That positive experience with Florsheim when we introduce Florsheim in the fourth quarter of 2012, we see an opportunity in boy’s footwear especially in the outdoor category. So we are introducing Nunn Bush ATC kids shoes for fourth quarter at a nice price point that we see as a boy in the market. What’s that, okay. Yes, I am sorry John Wittkowske giving me some additional information, Florsheim kids was up 100% in 2013. So we see that as a nice growth vehicle.
Rebecca Simmons - DRZ Inc.: Okay, great. And when I am looking at the gross margin you guys did a great job of keeping them flat over the last year, I mean looking forward into this year, I mean are there any opportunities you are seeing there or any cost pressures you are expecting?
Tom Florsheim Jr.: I think in China it’s going to be more of the same. Leather prices really haven’t eased. There is still currency pressure although the Chinese currency – I hope you saw that the Chinese currency fell a little bit this week for the first time in a long time, a little bit weaker against U.S. dollar. So hopefully that’s a trend, but I think that may be temporary. But the cost pressures in China remain and I think that they are going to be something that we have to just deal what and where we are raising prices where we can. The one thing that we are doing, which I believe will help long-term is we have a big presence relative to other people out in the industry in India. We have been there for a very long time. And the dollar actually has really strengthened against the rupee, which is the Indian currency, over the last year. And so we are trying to grow our business in India and are finding that labor costs and the impact of the currency just make it easier to show decent margins on the product and so there are a lot of companies in this industry looking at other markets right now. These people are targeting about Vietnam and a lot of people are in Vietnam and we are making some products in Vietnam, but we see India has a nice balance to our sourcing in China. So hopefully that will help just to reduce the challenges that we are facing from the pricing standpoint in China.
Rebecca Simmons - DRZ Inc.: Should we think of gross margins as kind of flattish going forward?
Tom Florsheim Jr.: Yes, that’s right. I think that we’re hoping to just maintain our gross margin exactly.
Rebecca Simmons - DRZ Inc.: Okay. And how do you feel about inventory levels right now?
Tom Florsheim Jr.: I think that our inventory levels are in good shape. We were – when you look at – our inventories are slightly down at year end. But we bought early this year due to the earlier Chinese New Year. So we feel very – we actually are in good shape going into first quarter, we ship a tremendous amount of shoes in February and March. And so I think that our inventory levels are right where they should be and our inventories are very clean as well I mean one of those reasons why we had a little bit of pickup in gross margin I think in 2013 is and we alluded to it in talking about (CES) we just had less obsolete inventory across our brand, certainly with BOGS where we carried some inventory in 2012 into 2013 just because of the mild winter and it’s opposite now where we are really –our inventories have a very low level of obsolete product.
Rebecca Simmons - DRZ Inc.: Okay. And lastly could you talk about cash priorities and maybe any acquisition opportunity you’re seeing or anything else you’re planning on doing this year?
Tom Florsheim Jr.: I’ll speak a little bit to acquisition opportunities and then John maybe talk about use of cash. We ourselves are looking I mean we’ve been looking – we’re always out there looking for opportunities because we see that is a key to our growth and we have a pretty disciplined approach to acquisitions and right now there isn’t anything that we’re looking at that as imminent and we’re going to just keep looking though but hopefully over the next couple of years we’ll find another good one. And that’s really others to report on that front.
John Wittkowske: I think on the cash management side and what we’re doing with the cash, you could see from this year is our focus was on getting the debt from the BOGS acquisition and other things down to a level where we feel comfortable. And you can see it went from $45 million down to about 12. We used operational cash in some of our maturities from marketable securities. Now we’re going to be in a different point where we’re going to start generating cash over and above that of course, we’re starting to buy some more investments, rates have moved up a little bit. But we’re pretty careful with that, we’re not going out too long right now, we’re just following and laddering out some municipals but the goal…
Tom Florsheim Jr.: Buyback shares too…
John Wittkowske: We buyback shares when it’s there, when the opportunity arises and we’re also – we’re just cognizant of the – as Tom mentioned we’re always looking for the acquisition. So we’re not going to lock up our cash in very long-term securities but we do ladder them out to make sure and our borrowing rate on our debt is low. So I think we’re doing well on cash management, that’s our approach.
Rebecca Simmons - DRZ Inc.: Okay. I mean you guys have done such a great job navigating this difficult market environment and you continually seen earnings growth over the last three years. I mean overall I mean it seems like you’re cautious that’s a pretty optimistic going forward and anyway I’m thinking about your company may seem like you think you can continue to kind a block in to tackle to this environment. Is that kind of in line with kind how you’re looking I think?
Tom Florsheim Jr.: Absolutely I think that’s right. I think that to do well in this environment you do have to do a whole lot of blocking and tackling, that’s a good way to put at. You really have to do the basics well and I think that we’re good at that. And we’re pretty conservative but we can be aggressive in a disciplined way when we’re looking for these for acquisitions. And we really with the fairly mature market in the U.S. and with I think that we have some good growth in BOGS. So I think the Florsheim I think that we have decent growth but it’s single digit growth probably in the legacy brand. We just see making a smart acquisition as a key part of our strategy to continue our growth.
Rebecca Simmons - DRZ Inc.: Okay, great. Well that’s all I have. Thank you for your time.
Tom Florsheim Jr.: Thank you, Rebecca.
Operator: Thank you. And the next question is from the line of (Joel Leonard) from DCO Capital Management. Please go ahead.
Unidentified Analyst: Hi, guys. I am trying to drill down a little bit more on the BOGS story, because I think it’s a good one. And I am just – I understand that we benefited from a frigged winter, but I was really interested in hearing more about what BOGS can do for the brand in terms of making product that doesn’t rely on cold winters? When I think about BOGS, for instance, people were those in the middle of July and I was wondering, because I see the BOGS story as really very interesting? And I just wonder if you are thinking like that?
Tom Florsheim Jr.: Yes, that’s a big part of our strategy moving forward. We did benefit from our cold winter that makes everybody look a little bit better, but we don’t want to be dependent up on that going forward. So in a number of areas, we are diversifying the product line. We are doing more non-insulated products. We are still tying it to the BOGS D&A. It’s waterproof leather that we are using in most of the products. And we are doing that both in women’s and in men’s and in kids and saw more lifestyle type product. And we have got a very nice reception to it. For fall ‘14, we are going to be introducing that product starting really in July. The other thing that we have been trying to do, which is not really weather based. We are expanding what we are doing in the industrial market and it taking us a while to move down that learning curve, but we have some really interesting product, that is both slip resistant and chemical resistant and there is not a lot of that in the industrial market, especially that’s rubber-based product. So, we are slowly getting beachhead in that market. The industrial market takes time to build. It’s got more of a complex distribution network, but we are starting to get some nice feedback from end consumers and from distributors in that market. We are also expanding what we are doing in the hunting market. We have a nice. It’s a small business, but we have a nice following in the hunting market. And we see that as tying very much with the BOGS brand positioning. And again we are really careful – we are being very careful to introduce product that is unique in the marketplace and we are getting more placement and we see that as a growth story for us over the long-term.
Unidentified Analyst: Okay. If I wanted to buy a pair of BOGS, I can click on the BOGS website or I can try and go to Zappos or whatever, can you tell me more about the BOGS website, are you guys selling through that website, is that getting decent response or is it more that you are just pushing it through your retail distribution?
Tom Florsheim Jr.: We’ve had significant growth in BOGS e-commerce this year. We – particularly in Canada we launched Canada in I think it was fourth quarter of 2012. And we had significant growth in 2013 and we continue to have really nice growth in the U.S. as well. And I think that really actually speaks I mean to two things that are going on in the marketplace, one is BOGS specific. I mean, the brand has got momentum. I think we are building a strong following. So, there is interest in the brand, so that attracts consumers to our website. And then in general in our industry, the brick and mortar component of retail is challenged and you are just seeing a lot more activity on the internet. And we are benefiting from that not only on our own sites, but we are expanding the business that we are doing with e-commerce sites across the industry, e-commerce sites that are pure plays, e-commerce sites that are attached to brick and mortar retailers.
Unidentified Analyst: So, if you guys pegged your legacy brands a slow single-digit growth, what do you think BOGS is?
Tom Florsheim Jr.: It’s hard to say. We don’t like to give specific guidance in terms of incremental growth, we are very optimistic about the growth of BOGS. We want also be careful to manage it proper way. We are entering a number of new categories and we want to make sure that we are successful in those new categories as we expand. But we think that there is certainly potential for double digit growth in BOGS hopefully in 2014 and beyond.
Unidentified Analyst: Okay. And then the percentage of sales are due to BOGS is what percent now of overall?
Tom Florsheim Jr.: We are looking at that number.
John Wittkowske: I will give that to you. That number is – it sounds wrongly. I am sorry. In our total North American wholesale division the percentage right now is about 18%.
Unidentified Analyst: And that is added e-commerce, right?
John Wittkowske: Well, it doesn’t.
Unidentified Analyst: We got the e-commerce numbers.
John Wittkowske: That’s just wholesale business right, that’s just our North American wholesale business. That’s correct.
Unidentified Analyst: That’s correct.
Tom Florsheim Jr.: We are also starting to get some traction overseas with BOGS, we launched BOGS in Australia and so we are starting to penetrate into that market and then we are starting to build a nice distribution network overseas as well, that’s what a long term play, what is happening. All those numbers in percentages will be in the 10-K which will be issued in a couple of weeks. So you will be able to get all that detail from there.
Unidentified Analyst: Okay, thank you guys. I appreciate it.
Tom Florsheim Jr.: Thank you.
Operator: Thank you. Gentlemen, we have no further questions in the queue.
John Wittkowske - Chief Financial Officer: Alright, I would like to thank everybody again for their time and interest in Weyco Group and have a good day. Thank you.